Operator: Good afternoon, ladies and gentlemen and welcome to the Atrium Mortgage Investment Corporation Third Quarter Results Conference Call. [Operator Instructions] This call is being recorded on November 15, 2023. I would now like to turn the conference over to Mr. Robert Goodall, CEO. Thank you. Please go ahead.
Robert Goodall: Thank you and thanks for calling in today. Our CFO, John Ahmad, will start by talking about our financial results and then I will speak about our performance from an operational and portfolio perspective. John?
John Ahmad: Thank you, Rob. Atrium posted an earnings per share of $0.25 in Q3, which is down slightly from the prior year quarter of $0.27. This represents a solid performance outcome given the current market conditions facing our industry. The Q3 earnings exceeded the dividends declared for the quarter of $0.225 cents. And more importantly, our year-to-date EPS of $0.91 is on a record pace and well ahead of the $0.77 posted last year at this time. Our earnings for the quarter were driven by a record high mortgage portfolio balance of $876 million, which is up $51 million over the quarter and a record level of revenues driven by a high portfolio rate of 11.49% at quarter end. Offsetting a portion of this strong operating margin generated by our portfolio was the provision for mortgage losses to recognize increased credit risk in our portfolio and we will touch on that in more detail shortly. Despite slower real estate market conditions, the business managed to originate $115 million of mortgage principal, which is almost double from last quarter. This was offset by $64 million of repayments, which have slowed down from an average of around $87 million experienced in the first two quarters of the year. The portfolio rate of 11.49% at quarter end is a record for the company and is up from 11.27% over Q2 due to a 25 bps rate increase by the Bank of Canada on July 12, 2023. 89.3% of our portfolio is priced off floating rates and this percentage has increased steadily from 75.4% at the beginning of the year. The balance of our portfolio that is not floating is mainly comprised of single-family mortgages with terms of 12 months, so they can reprice quickly and help drive our portfolio rate higher over the quarter. Assuming no rate changes from the Bank of Canada, we could expect our portfolio rate to come down slightly as we continue to focus on sourcing high-quality, lower risk mortgages at this time. Our funding profile continues to remain strong at quarter end. Borrowings under the credit facility were $208 million at quarter end and benefited from a pay-down of $13 million due to the sale of our investment property in Regina, Saskatchewan for a small gain over book value. This helps to create more funding capacity and acquire more accretive assets. In addition, on August 28, we successfully extended our credit facility with favorable terms, which is a testament to our consistent business performance over time. We extended the maturity date of that facility by almost 2 years out to July 2025. We refreshed our accordion to set $60 million such that we can increase the facility from $350 million to $375 million. We improve our leverage ratios. We had no change in pricing. At quarter end, our floating rate credit facility represented just 24% of our funding stock and our convertible debentures of $157 million continue to be locked in at favorable rates with maturity staggering over the next several years. Overall, this continues to be a very low leverage business as total debt is just 43.1% of our total balance sheet at quarter end. The allowance for mortgage losses was increased to 203 bps at quarter end from 150 bps at the end of Q2. Elevated interest rates, inflationary construction costs and a slowing economic growth profile has had a significant impact on all – on real estate markets and for all market participants. We have seen some of that risk manifest in our portfolio, which we watch very closely on a loan by loan basis. During the quarter, the provision was taken mainly against Stage 2 and Stage 3 loans. Stage 2 loans, which are loans that exhibit higher credit risk than normal, have increased from $77 million to $109 million at quarter end. This was due to an increase in defaults but also include loans where there is no default. The borrower is making their scheduled payments, but we have conservatively assessed higher risk due to a potential deterioration in collateral value. In terms of Stage 3 or impaired loans, we have now classified 23 million loans into the Stage 3 category for the first time this year, due to the outcome of our assessment of specific more default situations. We assess each loan in Stage 2 and Stage 3 individually for potential losses and the provision this quarter was driven largely by the assessment of these loans. Our Stage 1 reserves on performing loans remain elevated at 1.48% as well given weak forward-looking macroeconomic indicators. Despite challenging market conditions, we believe our business can continue to deliver solid results for shareholders and Q3 was no exception. We are in a record pace earnings wise on a year-to-date basis despite headwinds in the real estate markets. Our balance sheet remains strong with plenty of capacity for growth and liquidity should the need arise. And we continue to operate a low leverage and lean business model in terms of operating expenses. Our focus has always emphasized risk management before growth. But our business also remains agile with respect to market opportunities should they arise. Rob, I will pass it over to you for portfolio and general business updates.
Robert Goodall: Thank you. John said we had another very profitable quarter, Atrium’s basic earnings of $0.25 a share. We are only slightly below last year’s third quarter earnings of $0.27 a share, which at the time was a record for Atrium. More importantly, our 9-month earnings of $0.91 a share or 18% of last year’s record results and in fact, our 9-month earnings per share are close to what we would normally earn in the full year. In Q3, we decided to increase our loan loss provision to $5.4 million for the quarter. As you know, we have always been proactive in making loan loss provisions. This decision is consistent with the actions of most financial institutions over the last 90 days as well. Indeed, the major Schedule A banks have doubled and tripled their loan loss provisions in the last quarter. The mortgage portfolio increased from $825 million to $876 million quarter-over-quarter. We had an exceptionally strong quarter of origination, particularly from the Ontario office. Atrium now has almost 77% of its portfolio located in Ontario with the balance in Western Canada. Due to reduced activity in real estate markets across Canada, I suspect that Atrium’s loan portfolio will drop to some extent in Q4 despite our rates being more competitive than ever with institutional lenders. With the rise in interest rates, we have been able to reduce our spread over prime and compete more effectively with banks, credit unions and trust companies. This allows us to source higher quality loans, which is critical at this point in the economic cycle. Atrium’s total of high ratio loans, that is loans over 75% loan to value, remain very low at $36 million, which is equal to just 4% of the total portfolio. Atrium’s percent of first mortgages remained high at 95.4% and construction loans represent just 7% of the total mortgage portfolio. I view construction loans as one of the most risky types of loans today, because of ramp in cost overruns and time delays. In Q3, the average loan to value of the portfolio was steady at 61% and continues to remain well below our target of 65%. Turning to defaults, we have a few commercial and multi-residential loans in default in the portfolio and I’ll speak briefly about each of them. The first is a pre-sold project in Sutton, Ontario. The last two phases of this low rise development are scheduled to be registered in November. This $2.3 million loan is forecasted to be repaid in full before the end of the year. The second loan is $19.1 million with state view homes. Atrium holds the most senior ranking tranche of a $24 million first mortgage with 5.5 million subordinate tranche held by another lender behind us. The loan is secured by a 5.3 acre zoned townhouse site located in Markham. The first purchaser failed to waive conditions and we are working to finalize an agreement with a second bidder. The third loan is in North Vancouver. It’s a $47.1 million first mortgage secured by a 4.5 acre site that’s fully approved for a mix of multi-residential buildings both rental and condominium and having a gross floor area of approximately 300,000 square feet. The property was appraised earlier in the year by a respected appraisal firm for $83 million, implying a loan to value of 56.7%. We view the appraisal as aggressive in today’s market, but the court gave the borrower until mid-March 2024 to repay the loan. We anticipate having the legal right to hire a realtor and sell the project by the end of April 2024 if a loan is not paid off by the borrower before that time. The remaining four loans are located in Greater Vancouver and only recently went into default, in fact, in November 1. The loans totaled $34 million and they are connected to a single sponsor. As a result of ongoing legal proceedings, I am unable to speak in much detail about the loans, but I will tell you what I can. The loans range in size from $3.6 million to $12.7 million and are secured by low rise development sites, mostly townhouse sites in Langley, Richmond and White Rock, all suburbs of Vancouver. One is the construction loan and the other three are bridge loans. We are still gathering information at this early stage. Defaults in the single-family mortgage portfolio totaled $9.9 million, up just slightly from last quarter. These loans have loan to values ranging from 56% to 87%. As such, we don’t think there is much if any loss exposure on the single family mortgage portfolios. In order to address the weakness in the overall real estate markets and the new defaults in BC, Atrium increased its loan loss reserve in Q3 by $5.44 million. Atrium’s loan loss reserve is now a very healthy $17.8 million, which is equal to 203 basis points on the overall mortgage portfolio, up from 150 basis points last quarter and 138 basis points in Q1. Looking ahead, we see the market remaining weak for the next few quarters. And we will proactively increase our loan loss provision as needed, which will protect future earnings. We forecast that a market recovery should gradually begin by the middle of 2024 when real estate markets have bottomed, inflation has declined and the Bank of Canada has begun to drop interest rates. Turning to our investment properties. At the beginning of Q3 we had two foreclosed properties, a 90-unit rental project in Regina and a 4-Plex in Leduc, which is a suburb of Edmonton. The sale of the Regina apartment closed in Q3 for $13.5 million are carrying cost was $13.2 million and the net proceeds of sale resulted in a small profit. The only remaining foreclosed asset is a 4-Plex in Leduc, which is carried at $1.1 million. That property is consistently 100% leased, and generates between a 4% and a 4.5% yield. My economic commentary is as follows. GDP is dropped dramatically from the first quarter. GDP fell 0.2% in Q2 and is forecasted dropping point 1% in Q3. The Bank of Canada is also now forecasting GDP growth of less than 1% for the next three to four quarters. Canada’s anemic economic performance contrasts with the United States who posted 4.9% GDP growth in Q3. The U.S. consumer is less leveraged, and consequently high interest rates are having less impact. The Canadian unemployment rate increased from 5.4% to 5.7% during the quarter, which is consistent with a lack of GDP growth. The unemployment rate has increased 4x in the last 6 months. Inflation rose from 2.8% in the spring to 4% in August because of rising energy prices and mortgage costs. But inflation did drop to 3.8% in September, and inflationary pressures appear to be abating. Excluding food and energy, GTA in September rose only 3.2% on a year-over-year basis, and core measures of inflation also slowed to 3.4%. The Bank of Canada is now forecasting inflation of 3.5% in 2024 and 2% by mid-2025. The Bank of Canada has left its policy rate unchanged since July, and appears to be softening its stance on interest rates. Despite complaining about political intervention, the current consensus is that the Bank of Canada will start easing rates at the end of Q2 2024.  Turning to the real estate markets and first, the commercial real estate markets, cap rates continue to gradually increase in Q3 across all markets and sectors. The national average cap rate rose 17 basis points quarter-over-quarter to 6.45%. Not surprisingly, the office sector had the largest increase in cap rates, but more favorite sectors, like industrial, retail and multifamily, a very small cap rate increases. Indeed, CBRE reported the rental rate growth in the multifamily sector as entirely offset higher cap rates. The Canadian industrial vacancy rate rose by 40 basis points in Q3 to 2.5% from an all-time low. In Atrium’s core markets industrial vacancy rate in Toronto rose to 1.9% while Vancouver rose to 3%. There’s a general feeling that the growth and industrial rates is at or near an end, and that absorption will continue to slow down. Canadian office vacancy rate remained high at 18.2%. Vancouver remained the tightest office market in Canada with an 11.8% vacancy rate downtown and 7.2% in the suburbs in Toronto, where Atrium has very limited office exposure. The downtown vacancy rate was more elevated at 15.8%, while the suburban vacancy rate was 20.6%. Looking at the residential resale market in the GTA, there were 4,600 resales in October, which was down 5.8% compared to the previous year. On a month over month basis, sales were also down. New listings edged lower on a month over month basis, over 38% above the record low listings of a year ago. The home price index was up for 1.4% on a year-over-year basis, but down 1.7% on a month-over-month basis. In Metro Vancouver, there were 2,000 resales in October, which was up 3.7% from a year ago but remain below the 10-year average for October. The number of newly listed residential properties in Metro Vancouver increased by 15% on a year-over-year basis. Turning to the new home market, the sales of new homes remained weak across most of the country. In the GTA, there have been 15,000 new homes sales year-to-date, representing a decrease of 30% when compared to the same period in 2022. High rise sales were down 43%, while low rise sales actually increased 34%. On a month-over-month basis new home sales in September 23 were 3x stronger than last year. Unsold inventory in September was up from last year but remains at a very reasonable level. The benchmark price for high rise and low-rise product dropped by 10.5% and a 15.5% on a year-over-year basis, partly due to a change in the mix of sales toward much more affordable product. The supply of unsold high rise inventory increased on a quarterly basis from 13,900 units to 16,400 units. However, 64% of that inventory is in the pre sale stage and may never be built. There are only 515 unsold units of standing inventory in the GTA, and 92% of all units currently under construction have been pre sold. In Vancouver, the Q3 figures are not yet available. But in Q2 Metro Vancouver’s new multifamily home sales represented a 66% increase compared to Q1 and are similar to the 5-year second quarter average of sales. Standing inventory of completed moving ready units at the end of Q2 was 1,010 units, an increase of 4% from the previous quarter. 87% of concrete condominium units released for sale and scheduled to complete honor before 2028 have been pre sold. Our view is at a material recovery in the new home market will only begin once construction costs have dropped. Inflation has declined and in the Bank of Canada has signaled a drop in industries. So to finish, Q3 was another good quarter for Atrium, we generated earnings per share of $0.91 on a year-to-date basis, which would normally be close to earnings per share for a full year. We’re on track for the largest special dividend in our history. In addition, we were able to sell our Regina apartment building at a price slightly above our book value, thereby reducing our investment properties to a carrying cost of only $1.1 million. Although the number of defaults in our portfolio increased in the latest quarter, we have dealt with those defaults by providing for an outsize loan loss provision of $5.4 million. It’s worth noting that we were able to expense this large provision and still generate solid quarterly earnings of $0.25 a share a figure which is well above the dividend for the quarter. Today’s high interest rates have actually increased our interest margin, as opposed to most financial institutions who are facing reduced interest rate margins. My sense is that real estate markets will be soft for another three to four quarters, and that GDP growth will be negligible. The good news is inflation will almost certainly fall during this period, and construction starts will plummet, which should lead to a material drop in construction costs. In fact, construction costs have already started to drop because trades no longer have a backlog of work. The most pronounced drop has been in low rise construction. But early trades for mid rise and high rise construction have also begun searching for new contracts. I remain confident that our team can manage our portfolio through the cycle, we’ve been actively managing our existing portfolio to identify weaknesses early and deal with them expeditiously. We have sold subordinate tranches of some higher risk loans over the last 6 months in order to de-risk the portfolio. We’ve also increased our proportion of first mortgages and kept the portfolio loan to value ratios well below our long-term target of 65%. That’s it for our comments. Thank you. And we’d be pleased to take any questions from the listeners.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Gaurav Mathur from Laurentian Bank. Please go ahead.
Gaurav Mathur: Thank you and good afternoon, everyone. Just looking at the Stage 2 loan increases this quarter, one can’t tell but notice that it’s coming from the high rise, mid rise and the housing and a blocking segment. As you are looking at the next 12 to 18 months induced, perhaps see one segment fare worse than the others?
Robert Goodall: Well, those, I think those segments you mentioned represent 90% of our portfolio. So it’s not surprising that they would be coming from those segments. But our view is resales are probably going to be the steadiest because they’re smaller and loan amount, much more trading. I was surprised to see the low rise sales in new homes actually go up. It was probably from a low base the year before because the general feeling is that affordable product is selling okay. But more expensive product is where sales are really slow right now. And you sort of think of low rise not so much townhouses. Townhouses are sort of the most affordable part of the low rise sector. But detached and semi detached you would think would be pretty slow right now. Similarly, for condominiums, mid rise and high rise, the expensive the condominiums are the ones that are selling slowest. And if you look at the launches that have been successful this year, they are almost all affordable. In fact, I saw something this morning from a client that said the average was something like $1,175 a foot was the average of the most successful launches this year. And that would be well below the average price of a launch in the GTA.
Gaurav Mathur: Okay. Great. And then just switching gears here on to your prepared remarks on construction financing, do you foresee some sort of a pullback as far as construction lending is concerned, given the volatility in the commercial real estate sector?
Robert Goodall: It may be getting better now, if you are in the midst of a construction loan, it’s tough. But as I have mentioned in my remarks, there is evidence that trades are the much more reasonable and they are pricing. They don’t have the huge backlog of work that they once had, where they were just pricing out whatever they wanted. And developers needed to go forward with their project. So, they have to accept those prices. Now, because of much fewer launches, and because of failed launches, particularly smaller players. I think trades for good quality developers who they know will succeed and get through their pre-sales, I think they are getting really good quotes, right, or they are starting to get really good quotes right now, particularly in low-rise, but it will happen in high-rise as well. High-rises just takes longer to build, so in my remarks, I have said that you are seeing price drops in the early trades like forming, because they are the ones that are finishing up right now and don’t have the big backlog. But the finishing trades in high-rise and mid-rise, just probably still have 2 years or 3 years of good times ahead of them. So, a lot of developers aren’t fixing those costs, right now. They will worry about those costs later on, because they know they are coming down.
Gaurav Mathur: Okay. Great. Well, thank you for the color. I will turn it back to the operator.
Operator: [Operator Instructions] And your next question comes from the line of Rasib Bhanji from TD. Please go ahead.
Rasib Bhanji: Good afternoon. Thanks for the question. Rob, if I could start with the default state view. I think your commentary last quarter was that it should have – it should be paid-off by the end of the year. But I understand you are working with a new buyer here. Is that same timeline reasonable or should we expect it to be a bit more drawn out?
Robert Goodall: Yes. No, they wasted, unfortunately, 60 days of our time. So, we are close to signing a deal with a second bidder. There are quite a few bidders, actually. But we have identified one and we are going back and forth finishing an agreement of purchase and sale with a second bidder. And that one would close before the end of Q1, but not in Q4. But by the time we present to you, if they go forward, I think we would know whether they are firm or not.
Rasib Bhanji: Okay. Understood. And then had a few, I guess reconciliation questions on the default. So, $22.7 million of Stage 3 loans, are those part of the four loans in Greater Vancouver that just recently went into default?
Robert Goodall: So, part of it is and part of it are other loans.
Rasib Bhanji: Okay.
Robert Goodall: It’s a mix of Stage 2 and three, I would say more of them are in Stage 2 right now, majority.
Rasib Bhanji: Okay. Understood. And on the TCOs [ph], appreciate you took a large provision this quarter, was it going over your allowances schedule, I don’t think you have actually taken off any write-offs this year. One, just wanted to confirm that, if that’s correct. And second, do you expect to take losses whether or write-offs, whether it would be principal or accrued interest on any of these loans?
Robert Goodall: So, we haven’t taken a lot of write-up in a long, long, long time, many years. We have been building this up. I mean the definition of Stage 3, and I will let John correct me if I am wrong, is there concern about impairment. So yes, we think that there will be some impairment, not overly significant. And if you look at our $17.8 million, overall provision, 148 basis points, is actually allocated to Stage 1. Just to give you a sense of how we view the market has changed, I think at the beginning of COVID, our whole loan loss provision added up to something like it was up 74 basis points or something? So, we have double the provision, just on the Stage 1, which is the lowest risk portion of the portfolio. We have doubled the provision in Stage 1 that we had in the entire portfolio at the beginning of COVID. That shows you that we are trying to be conservative, and that we take in much bigger provisions to reflect the weaker market.
John Ahmad: Alright. I will just confirm for you, as well Rasib that, we have not written off anything year-to-date. Like, as Rob mentioned, where we built up our provisions for specific loans in specific situations, but once we reach a point in the process where we settle, that’s where we would proceed with the write-off, but presumably since we are providing that wouldn’t be much of a financial impact, assuming our reserves are appropriate.
Rasib Bhanji: Okay. Understood. And I had two quick questions here, the upcoming debenture in June of next year, what are your plans for that, are you planning on refinancing it or maybe leaning on your credit facility to rates come down?
Robert Goodall: So, right now we have $100 million available in our line of credit. So, we would love it if the convertible market opened up, convertible debenture market opened up, but the only parties who have done it have paid a very high coupon that we are simply not willing to pay. So, our preference would be if we could get a rate that we could be comfortable with to do it in the capital markets, but assuming it isn’t, and that’s sort of what we budgeted for by leaving lots of liquidity, then we will just pay it off in the line of credit.
Rasib Bhanji: Understood. That’s it for me. Thank you.
Operator: [Operator Instructions] Mr. Goodall, there are no further questions at this time. Please proceed.
Robert Goodall: Okay. Thank you very much for attending our conference call and for those of you who are shareholders, appreciate your continuing commitment to the company. Have a good day.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you all for participating and we all disconnect.